Operator: Good afternoon, and welcome to Zedge’s Third Quarter 2021 Earnings Conference Call. During management’s prepared remarks, all participants will be in a listen-only mode. [Operator Instructions] After today’s presentation by Zedge’s management, there will be an opportunity to ask questions. [Operator Instructions] In today’s presentation, Jonathan Reich, Zedge’s Chief Executive Officer; and Yi Tsai, Zedge’s Chief Financial Officer, will discuss Zedge’s financial and operational results for the three months period that ended on April 30, 2021. Any forward-looking statements made during this conference call, either in the prepared remarks or the question-and-answer session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties disclosed in the reports that Zedge files periodically with the U.S. Securities and Exchange Commission. Zedge assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. Please note that the Zedge earnings release is available on the Investor Relations page of the Zedge website. The earnings release has also been filed on a Form 8-K with the SEC. I would now like to turn the conference over to Mr. Jonathan Reich.
Jonathan Reich: Thank you, operator, and thank you to all for joining us today. Good afternoon. Welcome to Zedge’s third quarter fiscal year 2021 earnings conference call. I’m Jonathan Reich, CEO of Zedge, and with me is our Chief Financial Officer, Yi Tsai, who will provide additional insights into our financial performance. Q3 was an excellent quarter for Zedge. We reported revenue of $5.3 million, our second highest quarter in the history of the Company. We also delivered our fourth consecutive quarter of net income, sixth consecutive quarter of positive EBITDA, and seventh consecutive quarter of positive cash flow from operations. We’re very proud of these achievements, especially in light of the seasonal nature of our business, with Q3 being historically weak, mostly from a drop in post year-end holiday ad budgets. For those of you that are newer to the story, Zedge is a leading app developer focusing on mobile phone personalization and entertainment. Our heritage is rooted in being one of the leading providers of mobile personalization content, focused on offering consumers a rich array of high quality wallpapers, video wallpapers, ringtones, and notifications apps. Our flagship app Zedge Wallpapers and Ringtones is all about personal identity. It acts as a popular hub for self-expression for millions seeking mobile phone personalization, social content, and fandom art. The app is rapidly approaching 500 million organic installs across Android and iOS, an outstanding achievement for any app. The app generates revenue from a combination of advertising, paid subscriptions, and our Zedge Premium Marketplace, which enables content creators ranging from world class celebrities, to emerging artists to display and market their digital content and sell it to our users. Zedge’s strong third quarter performance is a testament to the ongoing investments we are making in ad operations, paid subscriptions and MAU growth, the latter of which was up nearly 20% year-over-year. Specific to last point, we also started seeing a material slowdown in the rate of MAU decline in well developed markets, which dropped by only 1% in Q3. Delving into paid subscriptions, although we benefited from what we consider healthy renewal rates of approximately 45% in year two and approximately 65% in year three, and year-over-year increase remains strong. We did not match the level of our prior sequential quarterly increases. This was a function of customer churn rate remaining constant on a higher total subscriber number, combined with lower MAU in well-developed countries where our subscription offering tends to have better traction. It is unclear at this time whether the subscription part of our business was actually impacted by seasonality or if it was something else. Either way, we are being proactive in our efforts to reverse this trend, particularly in well-developed markets. Until recently, we had two product managers overseeing our entire product portfolio, Zedge Wallpapers and Ringtones, Zedge Premium, Zedge Plus and Shortz. We recognize that to better scale, we needed to invest in expanding our product management team. We waited to pull the trigger on this until early calendar 2021 with the completion of the content management system migration, and now have three dedicated product managers working on our personalization approximately, one focusing on the premium offering, another focusing on Zedge Plus, our paid subscription offering, and the third focusing on Zedge Premium. In addition, we have a product manager assigned to you initiatives, including Shortz. We believe that the additional resources will allow us to scale and execute on the various growth initiatives that we have identified with greater efficiency in these. Although early, we’re starting to see results from these hires, most recently with the completion of the overhaul of user accounts, a prerequisite for social and community features that will be incrementally introduced later this summer. The ability to follow artists and other users, create and share collections, notify users about new followers and new content and offering an easy-to-remember handle, like zedge.me/jonathanreich are expected to unlock fundamental user growth. Furthermore, we are going to enhance Zedge Plus by bundling in value adds to make it more attractive to a broader cross-section of prospective customers and ultimately drive incremental growth. Finally, the newly hired Zedge Premium product manager is working on a set of initiatives to expand our premium creator community, increase average revenue per artist, optimize and localize pricing, make premium contents more accessible to consumers, introduce new functionality, including NFTs or non-fungible-tokens, ensuring that they are easy-to-use, operationally affordable, environmentally sustainable, and an improvement to our creator publishing platform. Apart from this, we now have the marketing infrastructure in place from attribution to analytics and all the associated connections to start testing paid acquisition growth strategies. This will be an iterative process allowing us to scale based on ROAS or return on ad spend. I would be remiss, if I didn’t spend some time updating you about Shortz. Earlier this year, we hired a product manager, who has been spending the bulk of his time doing foundational work needed to understand the user base, how they interact with the app, what content they like and how they consume it? Under his watch, we introduced an escorted version of Shortzcasts, high value podcasts of the content. We believe that short form fictional content is optimal for smartphone users and that this phase is still in the early stages of maturation. We are also beginning to test various paid user acquisition strategies to complement existing organic channels, introduce new features and expand our audio catalog. We were even more encouraged that there is a large opportunity here for Zedge in light of Naver’s recent acquisition of Wattpad for $600 million, and Kakao acquisition Radish for $430 million. Last quarter, we introduced disciplined M&A as part of our growth strategy. While we don’t have anything to announce at this juncture, we have been active in looking at potential targets. As a reminder, our acquisition strategy is to seek out opportunities where we can leverage our large user base, expertise in monetization, knowhow in managing complex platforms, outstanding engineering talent and a healthy balance sheet. In closing, our first three quarters of the fiscal year have been outstanding, and we expect to report continued strong year-over-year growth in Q4, despite a tougher comp as our business turned the corner in Q4 of fiscal 2020. Based on our strong fiscal year-to-date performance, we are raising our full year fiscal 2021 expectations for revenue growth of 95% to 100%, while maintaining our track record of strong profitability and cash flow from operations. Before handing the call over to Yi, I would like to thank you, our investors for your support. I also want to remind everyone that our success is a direct outcome for the outstanding team of talented and dedicated professionals who work at Zedge and who go above and beyond to execute our vision. Thank you. Now, I’m going to turn the call over to Yi who will provide details about our financial performance. Thank you.
Yi Tsai: Thank you, Jonathan. I want to start by reminding those on our call that our fiscal year ends July 31st. Additionally, last quarter, we introduced the term active subscription to replace paid subscription as a metric. Due to the change in the calculation used by Google Play, they now include account hold, which is a subscription status that begins when the user’s form of payment fails, and a three days grace period has ended with our payment resolution. The account hold period lasts for up to 30 days, with the aim to reduce cancellation rate. Moving to the third quarter results. Monthly active users, or MAU, defined as a number of unique users that opened our app during last 30 days of the period, increased 20% to 34.5 million during April 2021 from 28.8 million during April 2020. Emerging market MAU expanded by nearly 30%. Total revenue in the third quarter increased 153% from last year to $5.3 million. While our growth was extremely impressive regardless, keep in mind that Q3 of 2020 is when CPMs bottoms out. So, this year, we saw the benefit of the work we are continually doing to improve our ad operations. Subscription revenue was up 98% from last year, still demonstrating strong growth, despite the slowdown in net additions. It is unclear how much of the slowdown in sequential new subscription growth was seasonal and how much was related to lower MAU in well-developed markets. But with our recent hires and product initiatives, we are working to reaccelerate growth in fiscal 2022. Zedge Premium’s gross transaction value, or GTV, that is the total sales volume transacted through our marketplace, was $250,000, up 68% compared to the year ago quarter and 19% sequentially. As Jonathan indicated, we are investing in growing this offering. Active subscription exceeded 750,000 at the end of the quarter, an 89% increase year-over-year. As you recall, when a new user purchases subscription or a freemium user converts to the pay subscription, we pay a 30% fees to Google, which shows up in our SG&A as a marketing expense. However, if a subscriber, whether monthly or annual, renews their subscription after 12 months, the Google fees drops to 15%. In Q3, we continued to see annual second renewal rate of approximately 45%, and third year renewals are coming in at 65%, which is generally considered to be strong performance within the industry. Overall, the average revenue per monthly active user, or ARPMAU, was $0.049, an increase of 121% year-over-year, driven by the combination of better advertising performance and higher pay subscription numbers. Operating margin increased to 38% versus negative 6% last year, reflecting the continued cost control we have implemented while still being able to invest in growth. Net income and diluted earnings per share were $1.9 million and $0.13, respectively, versus a net loss of $300,000 and loss per share of $0.03 in the prior year. Average shares outstanding for the third quarter were about 14.6 million on a fully diluted basis, representing the share with the issue as part of our ATM, combined with option exercises as they start to increase significantly in value over past 12 months. EBITDA was $2.3 million versus breakeven last year. From a liquidity standpoint, we remain in a strong net cash position with almost no debt. A near $25 million in cash and cash equivalents, a $20 million increase from last year and over $11 million sequentially. The increase in cash over Q2 was driven by a combination of positive operating cash flow of $4 million and net proceeds of $7 million from the $10 million ATM program we initiated this quarter, sales of which occurred at a weighted average price about $15. Moving to guidance for the full fiscal 2021. As Jonathan mentioned, we have increased our top line growth expectation to 95% to 100%. Q4 has traditionally been stronger than Q3. But also keep in mind that our Q4 comp will be tougher due to the growth trajectory that began in Q4 ‘20. Also note that with some key new hires, we expect our operating expenses run rate to increase slightly in Q4. I hope that each of you remains safe. And I look forward to speaking with you again on the next call. Operator, back to you for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question is coming from Allen Klee with Maxim Group. Your line is live.
Allen Klee: Good afternoon. Congratulations on continued excellent execution. One thing that -- lots of things were positive in the quarter, but the first thing I wanted to highlight to dig into was the strength in your users and your advertising rates. This was supposed to be a seasonally weaker quarter, which -- so what do you attribute to the strength that you saw in your monthly average users and the revenue that you were getting for them per user?
Jonathan Reich: Hi Allen, it’s Jonathan. Thank you for the complement, and really credit goes to the team. And specific to your question, it is the hard work of our ad ops team that is really focused on optimizing the CPMs associated with our inventory. We think that that is a very, very significant part of the work that they continue to -- or the time that they continue to invest in generating more from the inventory and that involves everything from optimizing the inventory, optimizing the user experience, focusing on tools like header bidding, decreasing latency and so on and so forth. I’ll also add that I think that industry-wide CPMs have been holding up as the economy begins to open up. No question of a doubt that we are benefiting from that as well. I hope that helps?
Allen Klee: That does. And then digging into what you said that you’re well-developed monthly -- the MAUs was down only 1%. Could you go into what you think was behind that? And maybe like have you been doing with some of the initiatives with Apple?
Jonathan Reich: Yes. So, as you know, we are dominant on Android. And ongoing improvements that we are making in terms of the overall experience or user experience in the app is something that we are benefiting from. As I indicated in my comments, going into the summer, we have a lot of initiatives focused on what we expect will result in Tier 1 growth or the well-developed market growth specific to social and community features, personalized feeds, improving -- improved search and recommendations, and things like marketing automation, where we will send push notifications and so on and so forth to our users. And those will be rolled out incrementally. And as we see success, we will continue to go down the path of investing in the enhancements that are yielding that success. And the ones that are not, translating into improved engagement will be turned off accordingly.
Allen Klee: Got it. If I move on to your subscription ad-free business, it looked to me like that’s continuing to grow sequentially. I’m not -- could you explain a little your comments of what you said that it was a little less than the prior quarter?
Jonathan Reich: Right. So, let’s bifurcate between subscribers and revenue. You are correct that revenue continues to improve. And that is a function of new subscribers and then renewals from existing subscribers. Going into year two renewals, we’re seeing that approximately 45% of annual subscribers will renew for a second year, and then going into third year. Now that we’ve got a couple of months of third year renewals under our belt, we’re seeing that approximately 65% of the users that had renewed for a second year are indeed renewing for a third year. As such, the overall revenue increased, even though we did not have a net gain in terms of additions of 100,000 users, which had been the standard in previous quarters. Yi, do you want to add anything to that?
Yi Tsai: Yes. Allen, this quarter, we only added of 42,000 net addition to our pool of subscribers. And as Jonathan mentioned, as our pool gets bigger and bigger, you need to get new subscribers to offset the churn. So, as your base grows larger, it’s harder to find new subscription to offset the cancelled subscription. That’s why the net addition has been slowed down a bit when compared to last quarter.
Jonathan Reich: And I just would like to -- I would like to add one more piece, which I touched upon in my comments. When looking at calendar year 2021 to date, we have really made a significant commitment towards growing our product management team and seeing to it that we have dedicated product managers focusing on our various products. So, we’ve got a dedicated product manager focusing on the premium portion of the Wallpaper and Ringtone app. We’ve got a brand-new dedicated product manager focusing on Zedge Premium or marketplace. We have another brand-new dedicated product manager focusing on subscriptions and what we can do in order to grow that business over time with value adds and things of that sort. And then, we have a product manager that we’ve replaced focusing on new initiatives. And at this point in time, that is primarily around Shortz, although we have other things going on under the hood in terms of new potential product opportunities that is also being looked into by that particular product manager.
Allen Klee: In terms of your marketplace and you have a lot of initiatives that are going to launch this summer. Two things that I heard you say stood out to me as kind of new. One was including NFTs, and if could you explain maybe how that would work? Would people actually bid for them on your site or have to go -- they’d be created there? And then, second, you said that you might be able to start paid acquisition marketing? And if so, how do you think about what that would be targeted for? Thank you.
Jonathan Reich: Sure. With respect to NFTs, non-fungible-tokens, we view NFTs as being a valuable utility that will be attractive to artists that exist in our marketplace. Our requirements for that, if you will, are we want to make sure that they’re affordable. And so far as getting the NFT out there, the artist is not going to be in a position where they have to pay so much money to mint these NFTs, that it is not valuable for them. Number two is that they are sustainable from an environmental perspective. And then, number three, we want to do everything possible to provide for ease of use. And in today’s world, missing an NFT for most people complicated. It requires having a crypto wallet. It requires a lot of knowhow on the NFT side. We’re really trying to lower that bar to make this utility, one which is accessible to a wide array of artists, many of whom do not have the technical knowhow needed to those NFTs. In terms of whether or not we will avail those on third-party sites remains to be seen. But, we certainly want to make sure that they are embedded in our creator platform. Turning to your second question of our paid user acquisition. We are looking at this very analytically. We want to know that if we market to a particular segment. However you define that segment by demographic, geography, content taste, gender, you name it, that we can measure the return on ad spend and understand did that user base, did that segment generate a positive ROI when taking a look at their LTVs or lifetime value. So,, we have invested in building the infrastructure so that we have "all of that" -- those connections available, such shat, we will understand from the point of attribution, all the way through and including the customer signing up and then interacting with our product. Whether or not that’s a segment that we can afford to bring on over the positive ROI. And that will take -- that process is one where we will proceed cautiously when we find and hopefully unearth segments that make a lot of sense. We’ll begin to spend more money on acquiring those segments accordingly. Until such time that we cross the threshold or we say, oh, financially, we can’t go beyond this amount of money for this particular segment. Does that answer your question?
Allen Klee: Yes. That’s great. I just had a few housekeeping things, and I’m done. One is, so you’ve made some hires that should be positive on future growth. Is the way to -- I’m guessing that not all the cost of them was in this current quarter, or is this current quarter a good run rate, or it’s going to jump up from that level? Any color on that? Yes.
Jonathan Reich: Well, some of these ads were brand new and were not part of our team this quarter. So I think that you will see some change. But on the flip side, there have been some people that have exited the Company. So, it’s really a balancing game. Yi, do you want to provide a little bit of color there?
Yi Tsai: Yes. Allen, so for the nine months until April 30th, we brought on about 13 developer, engineer, product managers and 6 of the 13 came onboard during Q3. And in terms of run rate, I mean, we are not done with the hiring yet. In Q4 we’re probably bringing on another two product managers. So, we’re probably going to -- if you’re looking for run rate, you probably need to factor into more hire -- or doing more hire.
Allen Klee: That’s great. And then, just going back to seasonality, remind us -- I know you talked about it a little bit, but you did say that the July quarter, which is the next quarter, is typically higher on an absolute basis compared to the quarter you just had. But then I heard you say, I think that -- but your comparisons are getting tougher. But is there any reason that makes you think that there’s something about that -- or just something about the seasonality of how to think about the fourth quarter versus the third or just in general?
Jonathan Reich: Yes. It’s probably too early in the quarter for us to be able to provide an educated answer there. But turning back to Q2 versus Q3, as you know, our Q2 is November, December, January. So, typically, we benefit from end of year ad spend, and then there’s a seasonal decline in the February, March, April timeframe, where ad budgets are cut back. And we then will begin to see that Q4 for us will be slightly above Q3. But, I think that is historical with all of the changes that we have going on in the app right now. It’s something that we’re not in a position to provide accurate guidance other than to say that overall, the business is holding up nicely.
Allen Klee: Great. Thank you. My last question, just -- it’s a balance sheet, or it looks like you raised around $7.4 million in equity during the quarter. I’m guessing that it was from your -- from the $10 million ATM. Are you able to provide where that stands today and maybe where the share count is as -- it’s probably in your Q. I’m not sure if your Q came out yet? Thank you.
Jonathan Reich: Yi, do you want to address that?
Yi Tsai: Yes. So, we raised about $7.4 million and we still have about $2.6 million -- or $2.7 of that, and we expect to complete the $10 million offering within the time. So, our current share count is somewhere around 14.2 million shares.
Allen Klee: Excellent. Okay. Congratulations. Thank you so much.
Jonathan Reich: Thank you, Allen.
Operator: [Operator Instructions] We have no questions from the lines. This concludes our question-and-answer session and conference call. Thank you for attending today’s presentation. You may now disconnect.